Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic Second Quarter Fiscal Year 2013 Financial Results Q&A Session. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman K. Case: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and our Investor Relations team, Jeremy Allen and Chelsea Heffernan. Today, we announced our financial results for the second quarter fiscal year 2013 at approximately 4 p.m. Eastern. The shareholder letter discussing our Q2 financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company, as well as questions submitted to us via email at investorrelations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from our projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. I'd like to turn the call over to Jason Rhode, our President and Chief Executive Officer.
Jason P. Rhode: Thank you, Thurman. Before we begin taking questions, I'd like to highlight a few of the things we discussed in our shareholder letter. We are very excited about the extraordinary growth we experienced in Q2 and anticipate in Q3. During the second quarter, we began volume shipments of multiple new products, while design activity continued to be strong in both LED lighting and portable audio. Specifically, as we look at new and emerging markets, our audio team is heavily focused on new technologies related to enhanced voice and audio features, which are applicable in a broad array of audio products. In our Energy product line, we continue to be actively engaged with the key LED lighting players and expect our customers to have more products on the shelf in both the United States and Europe by the end of calendar 2012. We believe the magnitude of the growth we are experiencing affirms our success in identifying the right markets and customers, investing significantly and executing on our R&D initiatives. As such, we expect revenue in the December quarter to grow more than 120% year-over-year. Also I'd just like to note that while we understand there is intense market interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Vernon Essi from Needham & Company.
Vernon P. Essi - Needham & Company, LLC, Research Division: I think one thing I'd like to sort of reconcile is the -- obviously, the strength in your major customer is great, but can you discuss sort of what your scenarios are in the other audio area? It looks like it dropped considerably, maybe my numbers are wrong here, in the September quarter. And sort of what level of investment is going on there and how that's playing out sort of strategically for you?
Jason P. Rhode: Yes. Vernon, this is Jason. I would say I don't think we've seen anything real precipitous in the rest of our audio business. It is certainly the case where we invest in our best opportunities first. And so to some extent, that scaled our investment in other areas. But frankly, we've got quite a lot of good new developments going on in the broader markets. But with respect to revenue, I don't think it's any real surprise that -- as you've seen from other companies out there, the market is not red-hot. We haven't seen it be terrible or anything, but it's certainly not as hot as it could be. So we're just very fortunate that we've got a secular story right on top of that.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. And then could you discuss also in your shareholder letter -- and I apologize, I think my numbers were off just a little bit on that, it actually -- your other audio did look to go up a little bit sequentially, and my apologies there. The other question was related more to the risks or at least the potential price pressure you articulate in your shareholder letter. Could you discuss sort of the degree and magnitude of that and sort of -- I mean, I know there's always price pressure in your industry. But if you could just elaborate on that further, that would be great.
Jason P. Rhode: Yes, again, this is Jason. It's really not something where you can get into a whole lot of detail about, but just -- it's not surprising, I suppose, that we should see a bit of pricing pressure with growth exceeded the expectations we've set previously. It goes with the territory a little bit. And to some extent, we got mix and other things in place. So given all things and given where the revenue has shapen out and where our expectations are on that front, we're very pleased with the overall result.
Operator: Our next question comes from Tore Svanberg from Stifel, Nicolaus.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: So first question, Jason, that picture on the shareholder letter is that a picture of you when you were a kid?
Jason P. Rhode: It's a little dated, but I don't want to eliminate any of the suspense there.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: All right, a very nice picture. So in all seriousness, I know you can't talk anything specifically about your largest customer. But just from a market perspective, Jason, could you just address some of the technology trends and functionalities out there that the company is taking advantage of? I mean, historically, you've always benefited from specific audio, but you keep mentioning the word voice in your shareholder letter. So I was hoping you could maybe talk a little bit more about that from a market perspective.
Jason P. Rhode: Sure. Again, this is Jason. Thanks for the question. It's nice to get into account more of the generalities of what we're investing in. The -- actually in reality, a lot of what we sell today, the audio supports voice functionality that we -- a lot of the products, I should say, that we're in today. The audio is routed, audio and voice are both routed through our device. But we've certainly seen a lot more interest in an enhanced voice experience in addition to an enhanced audio experience that we provide. In terms of things like being able to pick out an individual person speaking in a crowded room, these kinds of things that we're investing in for -- in the future, echo and noise cancellation, noise suppression, that kind of thing. I'm not specifically getting into any one of them, but I'm a big fan, I think I've mentioned before, of anything we saw on the Jetsons. People are pretty much wired to want. And I think we all want to be able to, at some level, wander around our homes talking to our stuff. And whether it's in mobile phone or a TV or a toaster or whatever, we shouldn't have these archaic-looking remote controls laying around. And so there's starting to be a lot more interest in enabling that. It's really getting to the point now where you can achieve the functionality with a level of quiz and power consumption on the part of the devices involved, where that's starting to become a reality. And obviously, it's taking place in mobile devices first. But we think it's got a lot of legs broadening out into cars and homes, in all sorts of different devices.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Very good. And your DSOs were a little bit higher than what they've been historically. Was that just a function of these product life cycles coming late in the quarter? Or was there anything else going on there?
Jason P. Rhode: I think it's just the nature of the ramp and we had a lot of stuff coming in later in the quarter. Yes, so that is what's the main driver of that.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Very good. And, Thurman, on inventory, you said in the shareholder letter, you'd expect that to start to come down just seasonally here. Should we sort of think of inventory days maybe going back to where you've been prior to this strong seasonal build? Or help us understand how you're going to manage inventories next couple of quarters.
Thurman K. Case: Well, I think we don't expect it -- we expect the inventory to come down quite a bit in Q3 from ending inventory in Q2. And that said, we're starting to drain that and get into a normal production mode. I don't think you're going to see us, really, fall any lower than that in the future and -- but I think one way to look at it is we kind of look at this as days sales out there for a couple of quarters. And turns isn't a good way to look at it, but we're still on an annual average basis, probably in a 4 turn kind of level.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Good. Last question, then I'll go back in queue. You guided revenues for the March quarter. Just looking at gross margin for the March quarter, just given the mix, is it sort of fair to say that gross margin could potentially go back up again in that quarter just given the mix?
Jason P. Rhode: Well, Tore, this is Jason, again. Actually there's some section in the shareholder letter on that topic, where we basically said at least for the foreseeable future we kind of expect margins to remain in the range we've guided for the current quarter. And again we really don't like to guide out further than the current quarter, but we felt it was prudent to at least let people know what we are modeling. I'm not 100% sure what the difference between that and guidance is, but our visibility, as we get more than -- out more than the current quarter gets a little bit more cloudy, just due to all sorts of things that are out of our control. So I wouldn't get overly fixated on the down 15%, which would be in line with reasonable assumptions given the cyclically of our business. But there's -- a lot will be going on between now and then.
Operator: Our next question comes from Blayne Curtis from Barclays.
Blayne Curtis - Barclays Capital, Research Division: I guess, maybe just following up on the gross margin comment. If you could just talk about -- you mentioned in your letter that you saw some initial cost. It looks like you're basically ramping new products across the board. So can you talk about how the deals are on those products and what you're really referring to on the initial cost and how those kind of should feather out as those products become more mature?
Jason P. Rhode: Sure. So on the initial costs, we're ramping a pretty extraordinary ramp of a variety of new products in multiple different foundries, et cetera. And again, ramping from 0 units to a lot of units in a very short period of time is actually a pretty complicated thing to do. It's not at all surprising to have some challenges, and that -- and we don't want to get into a whole lot of details. But you can imagine all sorts of things from yields, yields or expedites or changes that we've got to make to test programs and various different things. They can play into that. Our focus is just making sure that we're able to support our customers' ramp and get through those. And we've been able to do that. We think that, that kind of cost and those sort of issues are largely behind us. And then just looking forward, it's really more a matter of mix and pricing. So again, given the magnitude of the overall ramp, we're quite pleased with our team's ability, the support of these ramps and as well maintain a very respectable both gross and operating margin.
Blayne Curtis - Barclays Capital, Research Division: And then maybe just following up on a prior question. I mean, we do see the public tear downs of your new chip. They are quite large versus the prior generations. You did mention some additional functionality. Can you maybe talk a different angle on that? Is -- how does that position you competitively versus, I think, you've been considered kind of just an analog guy and people think of CODECs as off-the-shelf. And then can you talk about, if you can to the extent of how much of this is Cirrus IP and reusable elsewhere?
Jason P. Rhode: Sure. Yes, I mean, I would say that generally the products we've supplied for many years are what we really more refer to as mixed signal rather than analog. So it's heavily digital and analog on the same die. Everything we supply is proprietary. We don't do pin-compatible devices with anyone. And certainly the larger our devices get, the more intertwined they become in someone's system. So that certainly is a good trend for us, more supply and more silicon into the same box in addition to just supplying to more different types of products. So all of that is, in my view, very, very good for us and good for our long-term position. We tend to incorporate a fairly minimal amount of other people's IP. I think as you would think of it in a sense of we don't tend to license a lot of IP from other folks. We tend to develop what we need ourselves and use it, with the exception of simple building blocks, like standard cell libraries or pads or memories in some cases. So does that get at your question?
Blayne Curtis - Barclays Capital, Research Division: Yes, helpful.
Operator: Our next question comes from Bobby Burleson from Canaccord.
Robert Burleson - Canaccord Genuity, Research Division: So just a couple of quick ones. I think the first would be just sort of how's the design activity these days in terms of looking out to next year and the next kind of iteration of designs, how do you guys feel about how you're positioned to the pipeline and the designs that are coming?
Jason P. Rhode: Sure, that's a great question. Really our business, as much focus as is put on revenue for the current quarter, guidance for next quarter. Again, everything we design is proprietary, which means that our success and failure is determined at the time when we win designs, which can be a good year ahead of revenue in a lot of cases. So that's certainly the internal metric that we monitor the most closely, and we're very, very busy at this point. We don't see any opportunity in the short term to get out of a mud work. To some degree, constrained by the number of people we can hire. We've got multiple products that we could do for everyone we're able to staff -- or multiple products we wish we could do for every product we're able to staff. And that's heavily true in audio where certainly, we've built up a great reputation and there's lots of folks out there that we wish we could staff up in addition to the ones we already do. But as well, in LED lighting, we've come out with a great new lineup of products. Externally, the design activity of designing and these new products we've come out with has been very high in a wide range of lighting products from a wide range of customers. So we're very optimistic due to all those factors.
Robert Burleson - Canaccord Genuity, Research Division: Great. And on the lighting topic, in terms of your 2-channel solution driver, is that something that you see on the shelves here with Philips pretty soon? I know that they're bringing some new products to retail shelves probably at the beginning of December.
Jason P. Rhode: It's not on the shelves anywhere yet. We don't want to -- we do have design wins on that device. We don't want to get into any kind of detail about who or what they would be in advance of them actually being out on the market. But the ability to either change color of the lamp on the fly is interesting. I think it's more important from a high-volume point of view. It's more important to just be able to get the color right in the first place, and that was really our intent with the 2-channel products. So you can get it as bright as it needs to be by using one string of a very bright white LEDs. And then in parallel with that, mixing in the color from, say, red or amber. And that's really the intent of the 2-channel device. If somebody was to do something a little fancy, whether it be able to -- enable you to change the color of the bulb on the fly, that would be interesting, but I would expect that to be a nicher kind of an end product.
Operator: Our next question comes from Jeff Schreiner from Feltl and Company.
Jeffrey A. Schreiner - Feltl and Company, Inc., Research Division: I was trying to understand, perhaps, where the design traction stands and possibly even some revenue contribution for DSP-based product designs outside of your largest customer.
Jason P. Rhode: Sure. Well, broadly speaking, we've had a pretty good DSP business for many years in applications like home theater and other more fragmented markets. The new low-power DSP that we came out with a year or so back has seen a lot of progress in applications like camcorders. We've certainly had interest in that device in tablets that's shipped in, the Vizio tablet, for example, a year ago. But as you know, the tablet market has been -- well, there's not a -- there's a lot of folks releasing products, there's not a lot of folks having a lot of success, unfortunately, in that space. Well, or fortunately, depending on how you want to look at it. So there's a lot of people designing with that product. It's not a -- obviously, it's not a huge contributor from a percentage point of view to our revenue, but it is a really valuable vehicle for us in terms of being able to explore new applications and keep our fingers in the middle of the -- of people's product development cycles so that we can figure out what new applications, what new customers are coming up the pipe, and we could maybe figure out some neat new things to [indiscernible] that. It's an avenue where we've got opportunities to incorporate that DSP capability into more combined analog, mixed-signal products in the future as well. So again, while it's not a huge percentage of our revenue today. We think it's a very important portion of our product portfolio going forward.
Jeffrey A. Schreiner - Feltl and Company, Inc., Research Division: And then where does the company currently stand with its previous plan to expand engineering headcount? And I'm just trying to understand, will we see increasing levels of R&D spending associated with further expansion as we move into fiscal year '14?
Jason P. Rhode: Yes. I think a big part of our focus is in staffing, making sure that we're able to bring in more folks into the product development teams to enable us to really diversify our business and better support both our existing and new customers. We made good progress on that this last quarter. Comparing apples-to-apples, we added about 34 new folks, heavily concentrated in product development functions. We need to do more of the same going forward. We think we've got very good opportunity to do that. Additionally, as we mentioned in the shareholder letter, we need to put some focus on really just kind of a support infrastructure for those folks. Right now, I think it's very common for smaller analog companies to be dominated by a culture where there's a little bit of a -- there's a term for it called success by heroics. We would like things to be a little bit more systematic on that. So we're working on layering in some of that without adding in too much red tape and bureaucracy and losing our ability. But we see that as a very good opportunity to develop another barrier for -- to put between ourselves and some of our typical smaller competition.
Jeffrey A. Schreiner - Feltl and Company, Inc., Research Division: And, Thurman, probably for you. When the deferred tax assets rolls off here, whenever that may be, in a few quarters or what have you, what should we expect the GAAP tax rate to be for Cirrus?
Thurman K. Case: Well, right now the GAAP tax rate would be the standard tax rate. It's about 35%. We're working on a lot of things to try to be proactive in helping alleviate that to a lower level. But I think for -- depending on when that rolls off, you could plug the deferred tax asset into any model and try to figure out when that's going to burn off. But at that time, it's unlikely we're going to come out with a much lower rate immediately, but we'll be working on things to try to drive that down over time. So you're looking out a little ways. I think from a shorter-term basis, when it first rolls off, it's going to be in that 35% range.
Operator: Our next question comes from Andrew Huang from Sterne Agee.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: A few questions. First, I hate to harp on this too much. But on the gross margin, can you give us a sense of how much pressure in the near term is coming from production challengers -- challenges and how much is coming from normal pricing pressure? I'm just trying to get a sense of whether gross margin has a chance to go back to the low- to mid-50s over time.
Thurman K. Case: Well, I mean, technically, I guess, it is in the low- to mid-50s. So from that perspective, it's a pretty good chance. We think that nothing has really fundamentally changed about the business. But as I said earlier, the volumes and revenue ramped up quite a lot. So it's not at all surprising that there should be a little bit more pricing pressure that goes with that. And as I say, in combination with the revenue growth, we're very pleased with how that's all shaping out. Really going forward, it is a product mix and a pricing challenge rather than the cost to support the ramp that we alluded to earlier.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Got it, okay. And then as a follow-up, I think on your website, you have a video that demonstrates noise suppression in a mobile phone. And I was wondering if you could share with us other examples of features you might enable for mobile phones.
Jason P. Rhode: Well, I mean, we -- a lot. I mean, really our devices we've been shipping for long-time support, a variety of what people would consider to be DSP functionality, whether it's EQ or various different -- you put it in rock mode or boost of bass or treble or this or that. We've got noise suppression that we are able to run on our DSPs, if somebody's interested in that. We have a variety of kind of virtual surround-type algorithms. Noise cancellation is something we spend a fair amount of time working on. And I alluded to earlier in response to a question, there's just a whole host of audio or voice enhancement or voice-recognition enhancement algorithms that we can deploy going forward. It's a real hot topic of research for us, and we think that bodes very well for the kind of capabilities that we have in audio going forward.
Andrew Huang - Sterne Agee & Leach Inc., Research Division: Okay. And then one last follow-on. Not that it's material, but I noticed that your LED unit expectations have come in a little bit from 5 million to 10 million units to 3 million to 5 million units. Could you give us a little more color on what the delays were in terms of the launches that you're expecting?
Jason P. Rhode: Yes. One of our customers -- the primary driver, one of our customers had a push-out of a couple of models for some reasons that I probably can't get into without airing their laundry. But they really didn't change the expectations for where we're headed. As we've said at the beginning of the year, 5 million to 10 million units is a metric that we're tracking to monitor whether we'll be really successful. Obviously, the revenue goals would testify our investment in that market are much, much higher. And so we're tracking that metric, really, as a good indication of whether we're on track or not, which we think we are. So we're seeing the adoption of our products really increase. We're seeing a lot of momentum across the board. We're coming out with folks that enable new form factors that there really is no good solution for today, such as MR16s, which is something we're really excited about. The feedback from customers on a dimmer compatibility has been great. And then as we alluded to in the letter as well, we started to see some pull from retailers. It's interesting, a lot of these lightbulbs get designed by contract manufacturers that may have a view of what the market wants. And sometimes you go meet with them and their goal is purely to make the cheapest lightbulb, they ought to make. But then when you go talk to their customers, which are the retail chains, the retail chains are just fairly beside themselves with the fact that they get so many returns, that the overall user experience is very poor. And so they're now really trying to cram a bunch of much higher quality requirements upstream back to their -- back to the CMs account, supply them. And then, that in turn creates good opportunities for us. So we're seeing great dynamics in that market. We're seeing great adoption of our products. We saw 1 or 2 models get delayed for a variety of reasons. But overall, we're very, very pleased with how the LED lighting initiative is going.
Operator: Our next question comes from Christopher Longiaru from Sidoti & Company.
Christopher J. Longiaru - Sidoti & Company, LLC: So my question has to do with new products. You have this chart here as new products are making up more and more of a piece of the overall business. Is there anything -- any improvement in terms of profitability with new products to stabilize your gross margins? What's -- considering the new product, could you just get into a little more about what -- explain that chart a little further?
Jason P. Rhode: Well, the chart delineates the newest defined as less than 3 years from first introduction versus other products that are more than 7 years from first introduction. And then, of course, you have the products in between. And then as far as -- obviously, a huge percentage of our revenue is being derived from products that are less than 3 years from the first introduction. And I would say the margin on those, it just kind of varies case by case. Some of them are entering a product space that are a little bit more competitive; some of them are a little less competitive; some of them, customers who got preconceptions of what they should cost, et cetera. It's just -- it's kind of complicated. So I don't think -- like I said earlier, I don't think there's anything fundamental about our business that's changed on the margin point of view. But for the next little while, we're kind of in the range that we've guided. Those -- that chart that you're looking at in the shareholder letter, I'll point out that those categories by definition are rolling. So products can roll from, for example, new into prime. And we just -- we think that chart is a really powerful way to measure whether the R&D dollars we're spending are being well spent. It's very difficult to actually have products that when -- if you think about the timescale that our customers operate on, when you release a new product, it takes a customer roughly a year to design it in once they're able to use it. And so if your engineering team takes an additional year to get the device right and go through the process of revising it and getting it to pass all of its quality levels, et cetera, there's not a lot of runway left in that metric. And so, really, driving a lot of your revenue from products that are less than 3 years from first introduction means your marketing teams are targeting the right opportunities. It means the engineering teams are cleanly developing the product to meets customers' specs. And of course, the supply chain and the other support teams are able to ramp those products successfully. So we think it's really a pretty all-encompassing metric. If you -- certainly, if you looked at that metric for Cirrus 10 years ago, you'd have seen a much higher percentage of revenue coming from products that were quite old, and we don't think that's a healthy situation. So we're very pleased with the improvement we've driven to that metric over the years.
Christopher J. Longiaru - Sidoti & Company, LLC: And that kind of leads me into my next question, which is I would assume a lot of those, what you consider to be vintage products, the 7 years or greater, are tied to your industrial business. In terms of that, can you give us an idea of what percentage of your R&D is now spent on that industrial business? I would imagine it's pretty small, but just to get an idea of the allocation there.
Jason P. Rhode: Sure. So essentially the older products, these things that are more than 7 years from first introduction, it's actually, there's quite a few of them in audio as well. I think you're probably right that the larger percentage of them is from our legacy industrial business. It is important when we talk about industrial for Cirrus to kind of separate that out into the buckets of -- what we're spending today in the energy market is really not at all related to those 7-year-old products and older. Those were products like seismic or weigh scales or other more traditional industrial markets. The thing that we're primarily spending money on today from an energy point of view are power meters, LED lighting, motor control, some of these really new energy-related initiatives. And a lot of those don't have revenue associated with them. Certainly in LED, we're just in the infant stages of that market for us. Power meters has been there for a while, but there's a lot of -- the opportunity is still to come in the LED market. But that's where we're spending the money because we see that as a very exciting opportunity and has the potential to make a meaningful contribution to the overall company's revenue.
Operator: Our next question comes from Tore Svanberg from Stifel, Nicolaus.
Tore Svanberg - Stifel, Nicolaus & Co., Inc., Research Division: Yes. I just had a follow-up. It looks like your CapEx was $29 million this quarter. Thurman, I'm just wondering, is CapEx peaking now, now that the headquarter is up and running? And what will CapEx be going forward?
Thurman K. Case: Yes. We had a lot of capital expense that came in this quarter that was associated with the building and some other things. We are still -- we'll still continue to invest in certain engineering tools and things like that. So it may -- with the higher number of employees, it's going to inch its way up, but we would expect it to come back down into more normal patterns moving forward.
Operator: I'm showing no further questions at this time.
Jeremy Allen: Great. Thank you, operator. This is Jeremy. Jason we've had a couple of questions get written in. A lot of them had been addressed, the questions we got from the analysts. We had a few questions related to business with certain customers and aspects of our business relationship that we obviously can't address as of this time. Those are the questions that [indiscernible]
Jason P. Rhode: Okay. It sounds like that's all the questions we have. Let me close by saying that Q2 was a great quarter for our company. We are extremely excited about our continued growth in Q3. I would like to once again take this opportunity to thank all of the Cirrus Logic employees for their exceptional dedication and performance over the past few years, which is at the core of our success. We expect FY '13 to be an outstanding year for Cirrus Logic and our long-term shareholders. If you have any questions that were not addressed, you can submit them to us via our investor website. I'd like to thank everyone for participating today, especially those people digging out from the storm on the East Coast. Goodbye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect, and have a wonderful day.